Operator: Good day, and welcome to the B&G Foods Fourth Quarter 2021 Earnings Conference Call. Today's call, which is being recorded, is scheduled to last about 1 hour, including remarks by B&G Foods management and the question-and-answer session. I would now like to turn the call over to your host, Sarah Jarolem, Senior Director of Corporate Strategy and Business Development for B&G Foods. Sarah?
Sarah Jarolem: Good afternoon, and thank you for joining us. With me today are Casey Keller, our Chief Executive Officer; and Bruce Wacha, our Chief Financial Officer. You can access detailed financial information on the quarter and full year in the earnings release we issued today which is available at the Investor Relations section of bgfoods.com.  Before we begin our formal remarks, I need to remind everyone that part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to the B&G Foods annual report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact our company's future operating results and financial condition. B&G Foods undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.  We will also be making references on today's call to the non-GAAP financial measures, adjusted EBITDA, adjusted net income, adjusted diluted earnings per share and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today's earnings release.  Casey will begin the call with opening remarks and discuss various factors that affected our results, selected business highlights and his thoughts concerning the outlook for fiscal 2022 and beyond. Bruce will then discuss our financial results for the fourth quarter and fiscal 2021 and our guidance for fiscal 2022. I would now like to turn the call over to Casey.
Kenneth Keller: Good afternoon. Thank you, Sarah, and thank you all for joining us today for our fourth quarter earnings call. The company's performance in the fourth quarter was solid. Net sales increased plus 12.1% versus last year, driven by an additional 2 months of Crisco in the quarter. Base business net sales were down modestly minus 1.1% versus last year and were roughly flat versus the same period 2 years ago. Adjusted EBITDA was up 16% versus last year, with adjusted EBITDA as a percentage of net sales increasing plus 50 basis points to 14.9%. And recall, Q4 is typically our lowest margin quarter because of seasonal mix and promotions.  However, sales performance was mixed during the quarter. Net sales started strong during October and November, but were significantly impacted by the spread of the Omicron variant in December. Supply chains were disrupted with labor shortages, call-outs across our facilities, distribution networks and customer store and warehouse operations. Our December net sales fell short of our initial estimates by $20 million to $25 million as a result of the supply chain disruptions and customers' inability to receive shipments.  The good news is that the impact of Omicron has improved dramatically in late January and February, with shipments exceeding last year and above our forecast. Supply challenges and shortages remain, but at levels consistent with service prior to Omicron.  As a result of a softer December, B&G Foods finished the fiscal year at the low end of our net sales and adjusted EBITDA guidance. Net sales were $2.056 billion, within the $2.05 billion to $2.1 billion guidance; and adjusted EBITDA finished at $358 million, on the low end of our $358 million to $365 million range provided at the Q3 call. 2021 net sales performance reflected both the addition of the Crisco brand and base business sales up plus 5.2% versus 2019.  Bruce will talk more specifics on the full year, including financial and portfolio highlights. But let me spend some time on the key themes driving 2021 performance and results.  Number one, Crisco integration. In 2021, we successfully integrated Crisco, one of the largest B&G Foods acquisitions. The brand performed above our expectations despite major increases and volatility in the primary soybean and canola oil inputs. Since September, Crisco was running on B&G systems and is fully integrated into our business processes. It is now the second largest brand in the B&G Foods portfolio.  Two, inflation. Inflation in full year 2021 was in the mid-single digits, with the second half increasing to a double-digit increase across the portfolio. Crisco input cost inflation is significantly higher than the base portfolio given the major increases in soybean and canola oil. We anticipate the substantial inflation will continue well into 2022 and at a minimum through the first half, particularly with the impact of the war in Ukraine.  Number three, pricing. We have executed pricing actions in 2021 across the portfolio to recover inflation in gross margin dollars. Most increases were effective in the second half of 2021 with some lag for implementation with customers. By the start of Q4, much of our recent pricing was in effect. We are seeing continued pressure moving into 2022 and are implementing further price increases to recover new and continued inflation impacts. So far, pricing elasticity has been lower than our preliminary expectations.  Number four, supply chain. We made several key additions to capacity in 2021 to meet higher demand, principally on Ortega Taco Sauce and Taco Shells as well as spices & seasonings. Canned Green Giant vegetables are also recovering volumes behind a stronger crop pack last fall. However, we continue to face supply challenges behind shortages in some critical packaging, commodities and materials.  In addition, several of our factories have been unable to achieve full staffing due to COVID-19 and the highly competitive labor market. Our service levels were improving in Q4 towards the low to mid-90s, and but dropped back below 90% during the Omicron surge.  Overall, the B&G Foods team responded well to the significant challenges facing the industry in 2021. We moved quickly on pricing to confront significant inflation on key inputs and costs. We worked through numerous supply constraints to maintain production and deliveries to our customers. We successfully integrated the Crisco brand despite record high soybean commodity prices and added new capacity to meet elevated demand for core product lines.  Finally, moving forward, we remain focused on the key priorities and choices we discussed on the last call. First and foremost, managing B&G Foods effectively through the current inflationary pricing and supply environment; improving organic growth performance beyond COVID recovery; focusing on brands and categories where we have the capabilities, scale and right to win in terms of both resources and structure; making disciplined acquisitions that are accretive to our portfolio and cash flows and fit with our core expertise in center store dry distribution; and accelerating cost savings and productivity efforts to eliminate nonvalue-added costs and strengthen margins.  As discussed in prior sessions, the team and I expect to share a comprehensive view of our portfolio strategies and structure later this year defining the categories and brands that we will resource and grow, the brands that will run for efficiency and cash flow and the businesses we may exit over time. Our goal is to make the portfolio choices and organization changes that will drive stronger performance and valuation behind sustainable top and bottom line growth. We believe that post-pandemic trends, including flexible remote work and renewed interest in cooking, are generating opportunities for our existing and future portfolio. More to come on specific plans, timing and presentation.  I will now turn the call over to Bruce for a more detailed discussion of the quarter and the year. Bruce?
Bruce Wacha: Thank you, Casey. Good afternoon, everyone. As Casey just discussed, 2021 was not a year without challenges. But that said, it was also a year in which we generated record net sales at B&G Foods as consumers continue to flock to our brands during a time of prolonged uncertainty, and we were able to successfully integrate the Crisco brand which we acquired in December 2020, another acquisition that is consistent with our growth by acquisition strategy.  During 2021, we generated net sales of $2.056 billion, adjusted EBITDA of $358 million and adjusted diluted earnings per share of $1.88. Our net sales finished just above the bottom of our guidance range that we set early last year, but was negatively impacted by the industry-wide supply chain disruption, which increased significantly during the last month of the year due to the spread of the Omicron COVID variant. We believe that the supply chain disruptions caused in large part by the Omicron variant negatively impacted our fourth quarter net sales by approximately $20 million to $25 million.  This is in addition to lost sales resulting from industry-wide supply chain disruptions throughout the year that prevented us from fully meeting the demand for our products. But it is difficult to quantify how much net sales were negatively impacted during the first 3 quarters of the year. Despite these challenges, 2021 marked the first time that we exceeded $2 billion in annual net sales in our company's history.  Net sales for fiscal 2021 increased by $88.4 million or 4.5% to $2.056 billion from $1.968 billion for fiscal 2020. The increase was primarily due to an extra 11 months of net sales of the Crisco brand, largely offset by comparisons against extraordinary demand resulting from the COVID-19 pandemic during fiscal 2020 and as well as 1 fewer reporting week in fiscal 2021 compared to fiscal 2020 and supply chain disruptions resulting from the rise of the Omicron variant in the closing weeks of the year.  Net sales of Crisco under our first full year of ownership were $293.4 million in fiscal 2021. For comparative purposes, Crisco had $27.8 million in net sales under our only month of ownership in December 2020. Despite a material increase in input costs, Crisco has more than exceeded our expectations for fiscal 2021.  Fiscal 2021 had 1 fewer week than fiscal 2020. We estimate that the additional week in the third quarter of fiscal 2020 contributed approximately $35 million to our net sales in fiscal 2020. Additionally, we believe that supply chain disruptions from the rise of the Omicron variant negatively impacted our net sales by approximately $20 million to $25 million in the closing weeks of fiscal 2021.  On a 2-year stack basis, net sales for fiscal 2021 were 23.8% higher than pre-pandemic net sales for fiscal 2019. On a 2-year compound annual growth rate basis, net sales for fiscal 2021 increased by 11.3%.  Base business net sales for fiscal 2021 decreased by $162.1 million or 8.3% to $1.8 billion from $1.96 billion in fiscal 2020. The decrease in base business net sales for fiscal 2021 reflects a decrease in unit volume of $222.6 million partially offset by an increase in net pricing, inclusive of product mix of $54.3 million. Foreign currency drove a positive benefit of $6.2 million. Base business net sales for fiscal 2021 were 5.2% higher than pre-pandemic base business net sales for fiscal 2019. On a 2-year compound annual growth rate basis relative to pre-pandemic levels, base business net sales for fiscal 2021 increased by 2.6%.  Our best-performing large brand in 2021 was Crisco. Crisco generated approximately $293.4 million in net sales for fiscal 2021, far outpacing our expectations for the business of $270 million in net sales when we acquired it in late 2020. As a reminder, we built our forecast for Crisco prior to the rapid input cost inflation that we experienced for soybean oil, which at a peak, reached pricing levels of more than 100% greater than we had announced the acquisition of the business in late 2020.  However, the power of the Crisco brand and its strong positioning in the category allowed us to take the price increases that were required to help offset these costs. Based on our understanding of the business trends for the periods prior to ownership, net sales of Crisco in fiscal 2021 were not surprisingly below 2020 levels due to the impact of the COVID-19 phenomenon at its peak in 2020. But net sales of Crisco are also significantly higher than the pre-pandemic 2019 levels. And as stated a few minutes ago, above our expectations when we acquired the business. With a little bit more than a year of ownership of the brand, we are extremely happy with the Crisco acquisition.  Among our other large brands, Green Giant also had pretty good results for fiscal 2021 that were generally in line with our expectations for the year. Green Giant generated net sales of approximately $543.8 million in 2021, which is obviously down from the pantry loading-induced net sales of $638.9 million that we experienced in 2020. However, net sales of Green Giant products increased by $17.1 million or 3.3% ahead of fiscal 2019 net sales.  While we have seen product supply challenges on the frozen and shelf-stable businesses at various times over the past 2 years, we have generally seen improved demand for both frozen and shelf-stable products. Net sales for our shelf-stable products increased by $27.3 million or 16.7% as compared to 2019. Net sales for our frozen products were down $10.2 million or 2.8% as compared to 2019. And we are hampered here by disruption to our innovation schedule and with manufacturing challenges for certain co-packed items, largely as a result of COVID-related supply chain disruptions.  Our spices & seasonings business, which includes brands like Dash and Ac’cent that we have owned for a long time, as well as the spices & seasonings business that we acquired in 2016, which includes brands like Spice Islands, Tone's and Weber, our club store partnership business and our foodservice business had a good year and exceeded 2020 levels despite a very challenging supply chain environment. Net sales of our spices & seasonings were $372.3 million in fiscal 2021, up $4.6 million or 1.2% when compared to fiscal 2020 levels. Importantly, our spices & seasonings net sales are much larger today than they were pre-pandemic and increased by $35.5 million or 10.5% from 2019 net sales of $336.8 million.  The broader spices & seasonings category has continued to see the increased demand that we began to experience during the early months of the pandemic not only stick, but also building momentum over time. The challenge, however, is not demand but instead supply. Similar to our larger and many smaller competitors, we have seen shortages of ingredients and packaging that have hampered our ability to fulfill strong customer and consumer demand. We have also seen this outsized demand exceed our production capacity at times, which has been strained by running for nearly 2 years now at maximum capacity.  Our Q4 2021 spices & seasonings net sales were down from year ago levels, for example, due primarily to these supply chain constraints.  However, we remain optimistic about our spices & seasonings business in 2022 and it remains a huge priority for us at B&G Foods. When Casey talks about strategic priorities, he is talking about increased financial and human capital spent against a very important spices & seasonings business. We are making continued investments to build line capacity and efficiencies at our Ankeny, Iowa facility, and we are also prioritizing spices and seasonings from an M&A strategy perspective although we can obviously only bid on what is for sale.  Ortega, with net sales of $151.2 million in fiscal 2021, was down not surprisingly by $7.1 million or 4.5% when compared to the peak pandemic fiscal 2020 net sales. But Ortega had very strong performance when compared to its pre-pandemic fiscal 2019 net sales of $140.4 million and was up by $10.8 million or 7.6% on a 2-year stack basis. Ortega, with its powerful positioning, is an exciting and growing category and is also a strategic priority for B&G Foods and represents a brand where we are investing resources.  We are very happy to report that we have successfully increased our capacity to produce both Taco Sauce with an additional line in our Hurlock, Maryland facility and Taco Shells with an additional line in our Yadkinville, North Carolina facility. These investments should help us continue to grow this important brand along with the category.  Las Palmas, which like Ortega is another great brand in the exciting and on-trend Hispanic category, had $39.7 million in fiscal 2021 net sales and was down approximately $1.6 million or 4% compared to fiscal 2020, but up approximately $4 million or 11.2% compared to 2019. We have been able to grow Las Palmas and would have expected to see even more growth but industry-wide supply chain challenges have continued to limit our ability to maximize the potential of Las Palmas.  Cream of Wheat also continues to be a star for us as more and more Americans are eating breakfast at home and helping to grow the category. Cream of Wheat is down slightly from a pandemic peak with net sales of $67.3 million in fiscal 2021, off by $5.5 million or 7.6% when compared to fiscal 2020, but up by $7.4 million or 12.4% compared to $59.9 million of net sales in pre-pandemic fiscal 2019.  Meanwhile, Maple Grove Farms had what may have been one of its best years ever in fiscal 2021, with net sales of $81.2 million for the year, up $4.5 million or 5.9% compared to $76.7 million in fiscal 2020 net sales and up $10.6 million or 15.1% compared to $70.6 million in net sales in fiscal 2019. The Maple Grove Farms has benefited from increased pure maple syrup sales, including a recovery in an important foodservice account as well as continued progress with our line of Skinny Girl-branded salad dressings, which are captured as part of the Maple Grove Farms salad dressings business.  Gross profit was $437 million for fiscal 2021 or 21.3% of net sales. Including the negative impact of a $13.9 million accrual for the estimated present value of a multiemployer pension plan withdrawal liability in connection with the closure and pending sale of our Portland, Maine manufacturing facility, $14.6 million of acquisition, divestiture-related and nonrecurring expenses and $5.1 million of amortization of acquisition-related inventory fair value step-up included in the cost of goods sold, fiscal 2021 gross profit would have been $470.6 million or 22.9% of net sales.  Gross profit was $481 million for 2020 or 24.5% of net sales. Excluding the negative impact of $5 million of acquisition divestiture-related expenses and nonrecurring expenses including cost of goods sold during fiscal 2020, gross profit would have been $486.7 million or 24.7% of net sales. During fiscal 2021, gross profit was negatively impacted by higher-than-expected input cost inflation, which were, in many cases, higher in the fourth quarter of 2021 than they were in the fourth quarter of 2020. Our expectation is that input cost inflation will continue to have a significant industry-wide impact during fiscal 2022.  We have been able to mitigate a portion of the impact of inflation by locking in prices through short-term supply contracts and advanced commodity purchases agreements and by implementing cost-saving measures. We have also announced list price increases and optimize trade for certain products where it makes sense. However, increases in the prices that we charge our customers generally lag behind the rising input costs. As such, we were unable to fully offset all of the incremental costs that we faced in fiscal 2021, and we were not able to fully offset all of the costs that we will face in fiscal 2022.  Selling, general and administrative expenses increased by $10 million or 5.4% to $196.2 million for fiscal 2021 from $186.2 million in fiscal 2020. The increase was comprised of increases in warehousing expense of $12 million, acquisition divestiture-related and nonrecurring expenses of $4.3 million, and customer marketing expenses of $2.7 million, partially offset by decreases in selling expenses of $6 million in general and administrative expenses of $3 million. The increase in warehouse expenses was primarily driven by the Crisco acquisition and customer fines related to COVID-19 shortages and delays, partially offset by 1 fewer week in fiscal 2021 compared to fiscal 2020. Expressed as a percentage of net sales, selling, general and administrative expenses remain about flat at 9.5% from fiscal 2020.  As I mentioned earlier, we generated $358 million in adjusted EBITDA for fiscal 2021 compared to a pandemic-enhanced $361.2 million in fiscal 2020. Fiscal 2021 adjusted EBITDA benefited from an extra 11 months of ownership of the Crisco brand, which was offset by lower volume throughout our base business in the aggregate due to comparisons against the extraordinary demand during fiscal 2020 resulting from the COVID-19 pandemic, 1 fewer reporting week in fiscal 2021 and significant supply chain disruption at the end of fiscal 2021.  Adjusted EBITDA as a percentage of net sales was 17.4% for fiscal 2020 compared to 18.4% in fiscal 2020. Margins were negatively impacted by the input cost inflation and the negative impact of absorption on reduced volumes. That was only partially offset in fiscal '21 by our cost savings initiatives and pricing initiatives.  Interest expense was $106.9 million for fiscal 2021 compared to $101.6 million in fiscal 2020. The increase in interest expense was primarily driven by an increase in average debt outstanding as a result of the Crisco acquisition, which was offset in part by a lower cost of debt as well as 1 fewer reporting week. Depreciation and amortization were also up year-over-year driven primarily by the Crisco acquisition. Depreciation expense was $61.3 million in fiscal 2021 compared to $44.6 million in the prior year. Amortization expense was $21.6 million in fiscal 2021 compared to $19.1 million in the prior year.  We had an effective tax rate of 28.1% for the year compared to 25.6% in the prior year. Our effective tax rate in 2020 benefited from certain provisions of the CARES Act that were effective at the beginning of COVID and are no longer applicable. We generated $1.88 in adjusted diluted earnings per share in fiscal 2021 compared to $2.26 in the prior year.  Our fourth quarter is typically our strongest cash flow quarter of the year, and this was true again in the fiscal 2021. This, coupled with the net proceeds we received from shares that we sold under our ATM equity offering in the fourth quarter, allowed us to reduce our net leverage as defined in our credit agreement to approximately 6.1x.  And while forecasting in the current environment remains challenging, I will now walk you through our outlook for 2022 although perhaps with wider ranges and more caveats than we were accustomed to in pre-pandemic years due to the uncertainty around COVID and other potential new variants, continued inflation, which may be offset perhaps by potential relief in the second half of the year, and by continued supply chain disruptions.  Based on what we know today, we expect net sales of $2.070 billion to $2.125 billion in fiscal 2022, representing a growth rate of nearly 1% to a little bit more than 3%, which is just ahead of our historical 0% to 2% growth plan. We expect net sales growth in fiscal 2022 to be primarily driven by our pricing initiatives, inclusive of full year benefits of various pricing initiatives that we launched in fiscal 2021 and coupled with additional pricing initiatives in 2022, including price increases that have already been announced and price increases that we expect to announce later this year.  We see modest top line risk from an elasticity perspective, although we appear to have been conservative in our elasticity assumptions so far. We are also operating in an environment with high levels of uncertainty and can't accurately forecast future COVID risks, which could result in continued or even enhanced supply chain disruption.  Based on our current net sales forecast, we believe that we can achieve adjusted EBITDA of approximately $358 million to $368 million. While we do expect to grow adjusted EBITDA this year, we recognize that we are operating in an environment with unprecedented risk and continued high levels of input cost inflation. We believe that our cost savings initiatives, coupled with our pricing strategies, will help to offset some of these challenges, but we do see risk to our margins and could see adjusted EBITDA as a percentage of net sales range from approximately 17% to 17.5% in fiscal 2022 before recovering in future years to the plus 18% to 20% area that we think is right for the business over the long term.  Additionally, we expect interest expense of $110 million to $115 million, including cash interest of $105 million to $110 million; depreciation expense of $60 million to $65 million; amortization expense of $20 million to $22 million; an effective tax rate of 26.5% to 27.5%; adjusted diluted earnings per share of $1.70 to $1.85; and CapEx of $50 million.  Now I will turn the call back over to Casey for future remarks.
Kenneth Keller: Thank you, Bruce. As I said at the beginning of the call, we had a strong fiscal 2021 despite the challenges faced during the year from inflation, COVID variants and supply disruptions. Our fiscal year 2022 is off to a good start, and we remain cautiously optimistic that COVID-19 could be almost behind us.  This concludes our remarks, and now we would like to begin the Q&A portion of the call. Operator?
Operator: [Operator Instructions]. Our first question comes from Andrew Lazar with Barclays.
Andrew Lazar: I guess to start off, I think maybe in the past, you've communicated your sort of level of confidence in keeping leverage at a level that would allow you to sort of cover the dividend and that stock sales in the past have been used more to create flexibility for potential acquisitions. And obviously, this time, it seems like the stock sale was a little bit more geared towards maybe operational needs and such. Do I have that right? And if so, maybe what changed such that the equity sales were kind of deemed necessary?
Bruce Wacha: Yes. So Andrew, actually, I kind of disagree a little bit with that. When we bought Crisco, we paid all cash over $0.5 billion. And our intention was always at a point in time to do, as you suggested, which is use equity to delever the balance sheet following an acquisition. And so the equity offering was intended for those purposes. We knew that we had a short-term benefit from our COVID-enhanced sales and EBITDA, which kept leverage manageable at the height of COVID even after the Crisco acquisition, but there is always, in our mind, some view of an acquisition and then delevering afterwards with equity, and that's exactly what we did here.
Andrew Lazar: Got it. Okay. And then I know it's awfully tough, obviously, to forecast to finally in this kind of environment. But I would imagine that you, like others, are going to see a lot more volatility in the way sort of the margin profile lays out in terms of the cadence as you go through the year. I guess to the extent that you could provide a little bit more clarity on maybe how you see margins playing out sort of earlier in the year versus later in the year because I imagine you don't want to try -- and just get sort of expectations in a more reasonable place. And it's tougher on the outside to maybe model the kind of extreme volatility that we as staple analysts aren't as used to modeling quarter-to-quarter.
Bruce Wacha: Yes. And there's probably two parts to that answer. And so part one, since we've owned Green Giant, our third quarter has been our highest margin quarter and our fourth quarter has been our lowest margin quarter. That's probably going to continue this year. However, I think as you're highlighting, and this is part of the unknown, but expectation would be that margins will be a little bit more challenged in the front half of the year from the input cost increases and then the lag effect on the pricing that we're taking to offset that. So we would expect some natural improvement in margins over time, but not so great that we're going to disrupt that fourth quarter being our lowest margin quarter as we get to the end of this year.  And then there's obviously a big unknown in terms of -- if you talked to us 3 months ago, we would have been talking about our expectation for possible input cost relief in the back half of this year. With all the events going on in the world and in Europe today, that may be different. And so like you said, there's a lot of unknown that makes those predictions hard to do.
Operator: Our next question comes from Nik Modi with RBC Capital Markets.
Sunil Modi: Yes. Just two quick questions from my side. General Mills at CAGNY indicated that they were seeing some meal prep fatigue as they called them and they said they were going to keep a watchful eye on that. So I just wanted to get your reaction to that and you've seen any of that type of consumer behavior in any of your research. And the second question is really just kind of on the cost side. Indonesia has restricted palm oil export. And I just wanted to see kind of how you guys were thinking about the downstream impact of that on your cost of business as the year progresses.
Kenneth Keller: So Nik, just to make sure -- this is Casey. You said comment on meal prep fatigue? Is that what you said?
Sunil Modi: Yes, meal prep. Yes, that's what General Mills was commenting on [indiscernible]
Kenneth Keller: Yes, okay. Got it. We actually have not seen that. I said what the 2 trends that we're kind of seeing in our research are number one, people continue to work somewhat remotely, even if they're coming back to the office. To some extent, they still are working more remotely and from home than they were before the pandemic driving more meal consumption at home, particularly in the breakfast and lunch occasion. Second, in our -- I guess, when our meal prep business is that we -- or at least would be related to that like Ortega, we've seen consumption hold up fairly strongly on those businesses.  So we haven't necessarily seen that in our businesses yet. I mean the real impact we talked about was sort of the disruption of Omicron on our supply chain in December, but our consumption numbers held up pretty nicely. So I'm not seeing that yet. I'm seeing the 2 -- the trend of more breakfast and lunch occasions at home as people work remotely. And to some extent, even some casual dinner occasions.  And then the second thing is we continue to hear from people that during COVID, they learned how to cook. So they are continuing to show interest in cooking and preparing meals at home probably slightly higher than they were in the pre-pandemic phase. So that's what we see in our research, and that's what I would comment on in our portfolio.
Sunil Modi: Great. And on the palm oil experts, any thoughts on the cost impact? And really how you're thinking about the cost for this year. I mean, is this really the guidance is built on spot rates? Or is there more forward kind of forecast curves that you're using?
Kenneth Keller: Or -- I mean, palm oil is one of the things that we're looking at and tracking pretty closely. Honestly, the war in Ukraine is obviously sent things that are sensitive to oil or even wheat has gone up. So we forecast for the year. We -- in typical fashion, we will have significant coverage through the year, except on things that we're managing coverage up and down based on volatility in the commodities markets. So we we're constantly adjusting these forecasts. But for the most part, we are passing on increases in our own pricing to recover gross margin dollars impact of higher input costs.
Operator: Our next question comes from Michael Lavery with Piper Sandler.
Michael Lavery: Just curious if you could unpack guidance a tad further. The EBITDA high end of the range is just above consensus. But if I have the numbers right, the EPS is pretty well below the Street. You touched on some of the pieces there, but can you point to where that gap may be? And just what some of your assumptions might be about buybacks as well?
Bruce Wacha: For fiscal '22?
Michael Lavery: Right, yes.
Bruce Wacha: Yes. So the one thing that's worth looking through in the press release and the 10-K when it's filed is details around the stock sale. And so we sold about $110 million of stock late last year, which probably isn't captured in your forecast around EPS. And I'm not really sure what you're using for tax rate. So that could also be throwing things off.
Michael Lavery: Well, I was just using the consensus number, so it could be a little bit of a blend.
Bruce Wacha: Yes.
Michael Lavery: But as far as turning back around to buying back shares, is that on the table at all? Or are you assuming none for 2022?
Bruce Wacha: Well, we do have an authorization in place, and I think it depends in large part on what happens with share price.
Michael Lavery: Fair enough. And just following up on elasticity. I think your language was that you have you assumed some modest elasticity or just that it doesn't hold quite at the levels that you've seen. Do you assume -- am I hearing it right that that's not -- you don't model in your guidance, assuming to normal levels? And can you just maybe give a little bit of sense of magnitude of what you do expect .
Bruce Wacha: So we have been expecting and modeling out elasticity in all of our price increase analysis that we've done. What we've experienced so far, and so this is a so far comment, is that any elasticity that we've actually experienced has been less than what we modeled out. And part of that, I think, is if you go through the grocery store, this is not a B&G going out and raising price. This is most manufacturers of most products of most things sold in the grocery store are seeing input cost inflation and turn around and appropriately raising price. And so we're seeing that phenomenon across the grocery store. And probably also impacting that is you see that in restaurants and other services. And so the alternative to an expensive night out on the town and dinner is eating at home, which, while that may cost a little bit more, it's still going to be less than eating out.
Kenneth Keller: And just to elaborate on that. So we -- as we started taking price increases in the second half of this year, we were modeling elasticity based on historical data. And what I said was, so far, we have not seen -- we've seen elasticity coming in lower than that. So we have been assuming elasticity effects going forward into 2022, not as high as our initial modeling would have suggested, but we are still assuming that there will be elasticity conservatively going forward.
Operator: Our next question is from Ken Zaslow with Bank of Montreal.
Kenneth Zaslow: You have said something about that the acquisition actually exceeded your expectations on the sales line. Did it exceed your expectations on the EBITDA line? Or was not -- and I didn't catch it if it was. I just didn't understand when you said that it exceeded your expectations.
Bruce Wacha: Yes. Probably a little bit of both, but we didn't disclose the EBITDA for Crisco. But overall, read between the lines, it had a great year. It did very well.
Kenneth Keller: I mean, I think if you look at the top line, it was obviously enhanced by the pricing. So then we said lower.
Kenneth Zaslow: I agree.
Kenneth Keller: Yes. We said we had lower elasticity than we expected. So the pricing actually flowed through in the top line very nicely. EBITDA was more closely in line with our expectations because, obviously, we had to cover higher soybean oil costs. And we weren't -- when we took the business out from Smucker's, we weren't covered that far out. So.
Bruce Wacha: But the biggest thing to keep in mind in our reaction to sitting back after years, we look -- we made an acquisition, a very large one. We saw input costs increase at a certain point in time, more than 100% for soybean oil. And through pretty good management of the business, we're able to perform somewhere between in line and better than expected. So very, very happy with that acquisition.
Kenneth Zaslow: Okay. The second question is -- and we heard this a lot at CAGNY as well is more aggressive and people maybe aligning their strategy a little bit more with you guys where a lot more portfolio management -- active portfolio management. One of the opening comments you said is that we are looking to -- the timing to exit certain businesses. What's your criteria to exit, it's not typically what you guys are usually acquired? I know there's been some divestitures at good prices, but not actively divesting assets. Is there a little bit of a change? Is there a thought process? And can you elaborate on what are the key criteria for which that you would seek to divest certain businesses.
Kenneth Keller: Sure. I think, look, net, I think you should expect us to be a net acquirer versus exit, but we will selectively look at businesses that we don't fit -- that we don't believe fit within the portfolio long term. And probably later this year, when we come back to you and talk to you more specifically about our strategies and our plans and how we want to manage the portfolio, we'll be a lot more explicit about this. But the criteria for me would be looking at businesses that don't really fit our operating model, don't have a lot of synergies with how we run our businesses and where I don't believe we have kind of the capabilities and the right to grow those businesses sustainably over time.  So I don't want to go further than that, but it's basically about shaping the portfolio to the places where I think we manage that well. We manage it well to get some growth. We manage it well to bring in acquisitions and similar business lines and categories and find synergies and build those and add to our capabilities. So we'll look at selectively exiting some businesses that don't fit that criteria, but -- and then we'll make some conscious choices about even business lines that might not look like they fit within kind of our focused portfolio structure where we can manage those businesses efficiently. I'm really going to look at only exiting businesses where I don't think we could manage them efficiently or effectively within our structure.
Kenneth Zaslow: Okay. So there's a little bit more of a sense of streamlining than maybe previous managements have had. Is that at least a fair point, and I'm not trying to put words in your mouth, I'm just...
Kenneth Keller: No. I said we are going to be a net acquirer, which means, I think -- but we will look at some -- yes.
Kenneth Zaslow: Okay.
Kenneth Keller: Yes. But we will look at some places that we can prune the portfolio where I think it's not the best fit with where we want to go. But look, net, I think we're going to be acquiring more than we're going to be divesting.
Kenneth Zaslow: Okay. And then last question is you said that you're going to take pricing later this year. Have you recaptured all the recent inflation? And is that anticipatory? Or is that, hey, we think that we're a little bit lagging, and we need another price increase, we just have to tell the retailers. How is that positioning? And then I'll leave it there, and I appreciate your time.
Kenneth Keller: Yes. Honestly, this is kind of a fluid dynamic. If you would have asked me 2 months ago, had we priced for everything that we were seeing, I might have said yes. Today, with the war in Ukraine and some new commodity kind of increases coming on -- look at soybean oil, soybean oil, I thought would be kind of in the 50s now is really up at 68 is the last spot market I saw. So we're sort of adjusting to that. And when I said we may have to do new price increases. It's to reflect new things, new commodity cost inputs that we're seeing in the marketplace.  We, in particular, if you've seen recently, soybean oil is up because I think it's sensitive to the cost of oil over -- I mean to the price of oil overall. So we will be taking further actions where we see it's necessary to recover cost input increases that are relatively new that we have -- that we weren't experiencing kind of in Q4.
Operator: Our next question comes from Eric Larson with Seaport Research Partners.
Eric Larson: So my question comes really on your revenue guidance. So when you look at your revenue guidance, you're looking for an increase this year of 1% to 3%. So when you look at your pricing actions from last year and then what's potentially going to happen again this year, you should be able to pencil in probably a high single-digit revenue increase just from pricing, take away a little bit of promotion expense, et cetera. So you may have a $10 million, $15 million leakage from $35 million of your extra week last year and then a $20 million to $25 million shortfall in COVID. But where is the rest of the leakage coming from on that? Can you help us get from point A to point B on that?
Kenneth Keller: Yes. Okay. Yes. Remember that I said we are modeling some elasticity, right? So we're not getting all the pricing free. It's going to come at some volume consequence. And we've seen some elasticity in our pricing move already. And we've been -- I think we've appropriately modeled elasticity going into next year. But look, the way to think about our top line guidance for next year is 3 things. One is we are definitely going to get pricing realization benefit on the portfolio.  Second, we are looking at where there has been elevated demand for COVID that may taper off a little bit in some categories, still stay high relative to 2019 in pre-COVID levels, but down from the 2021. So we do model a little bit of that effect as well, which is an offset, obviously, to the pricing realization. And then third, we do have new capacity coming on some of our product lines like Ortega, where we will expect to get some growth out of that from a volume standpoint.  So I think -- look, you can't just take the net pricing impact that we're taking in the marketplace and assume that that's all going to flow through because we will have some elasticity impact, and we will have some drop off in the elevated demand in some of the categories going into 2020. As we get fully through the COVID-19 kind of pandemic and it moves towards more than endemic and people's -- the consumer behavior normalizes again. Does that help?
Eric Larson: Yes. No, that does help. So where you're seeing the most elasticity, one would assume that those are in the categories where you've taken your biggest pricing adjustments. And that would be like a Crisco where just the cost of oil is such a high percentage of the underlying cost of goods sold for that product line. So where are you seeing your elasticity? And is my assumption right that it's in those product lines that have a high percentage of commodity component to them?
Bruce Wacha: It's probably right for some of those and not for others.
Kenneth Keller: I mean, you got to think about for canned vegetables would have steel, steel cans has gone up dramatically. So you will have some elasticity impact there as well.
Eric Larson: Okay.
Kenneth Keller: So I mean if we detailed all the pricing that we're actually taking with our customers on a percentage basis, and you would see that we're getting a net help from that but it's going to be offset by, obviously, some volume elasticity, but not -- certainly less than 1:1.
Eric Larson: Okay.
Operator: Our next question is from Robert Moskow with Credit Suisse.
Robert Moskow: Actually, a couple of questions. First on Crisco, it seems like that's a major swing factor for 2022 because of the pricing commodity relationship and maybe even it was in 2021 as well. Is there any way to like dimensionalize like what's baked into your assumptions for 2022 on margin recapture? And did you expect profit growth in 2022 or not? And then secondly, a broader question. A lot of companies that presented last week at CAGNY talked about -- used a lot of jargon on artificial intelligence, new technologies, standardizing processes to improve operational efficiency. Have you seen anything new out there? Or are you implementing anything new that all these other bigger companies are doing to improve operational effectiveness as well?
Bruce Wacha: I'll take the Crisco question and let Casey take the jargon question. For Crisco, yes, margins held up pretty well for Crisco, probably a little bit lighter than we initially modeled out for fiscal '21, but held up pretty well despite the input cost inflation due to the pricing. I think Crisco will continue to follow the market if input costs stay elevated and rise more, we will take more pricing. I wouldn't be surprised if you saw that across the category.  And so ultimately, we believe the margins of the business that we bought will remain intact. Kind of hard for me to say, will I forecast increased margins for Crisco this year or increased profits for Crisco this year versus last year. Crisco delivered in 2021, we expect it to again in 2022.
Kenneth Keller: Okay. So on the jargon question, here's, I guess, the way I talk about it in simple terms is I think there are some places where we are trying to streamline and simplify our operations. I would say, number one, we're investing in automation in our plants because labor is so tight, and it's been so difficult to manage in the COVID-19. So we have spent quite a bit of money on automation in our plants, which to me, is about restructuring our costs and streamlining our cost structure and our labor. And that's just -- that's facing the realities in the current labor environment that we're in today.  Second, we have invested in some of the systems to drive greater efficiency and control. We have a new trade promotion system that we've implemented in the last 1.5 years that I think is now really just coming into its stride in terms of our ability to optimize our trade spending and make sure that we're making the right decisions from a return standpoint. If you ask me what are the things that we really have to focus on to improve our operations, it is clarifying how we're going to manage different parts of our portfolio because right now, we have kind of a big basket of 50-plus brands in 30 categories, and we're trying to manage all that centrally within the company and from a functional standpoint.  And I think we need to get more efficient in breaking that down and saying, where are we going to focus, how are we going to resource it, and pushing some accountability for managing the growth in the P&L of these businesses to improve our performance and to improve our visibility and clarity and speed up our decision-making in how we're running these businesses. So if you ask me, that's probably the biggest thing I'm focused on. It's not a lot of jargon. It's about how do we simplify and clarify the accountability in our business and drive it harder for future success.
Robert Moskow: That's helpful. Can you tell me whether Crisco achieved your original acquisition targets for EBITDA?
Bruce Wacha: Yes, it did.
Operator: We've reached the end of the question-and-answer session. I would now like to turn the call back over to Casey Keller for closing comments.
Kenneth Keller: Thank you all for your attention. Obviously, this was an interesting quarter from that standpoint of dealing with the Omicron variant. But as I said, the good news is that we feel like we're past that now, and we're seeing big improvements in our workforce and call-outs and everything else. So I think we're on track. 2022 will be another year of continued challenges with inflation and pricing, but I think the team is up for the task, and we're ready to go with it. So thank you for your attention, and we'll speak to you next time.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.